Operator: Good day and welcome to the SB Financial Second Quarter 2018 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Melissa Martin. Please go ahead.
Melissa Martin: Good morning, everyone. I would like to remind you that this conference call is being broadcast live over the Internet and will be archived and available on our website at www.yoursbfinancial.com under Investor Relations. Joining me today are Mark Klein, Chairman, President and CEO; Tony Cosentino, Chief Financial Officer; and Jon Gathman, Senior Lending Officer. This call may contain forward-looking statements regarding SB Financial's performance, anticipated plans, operational results and objectives. Forward-looking statements are based on management's expectations and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those expressed or implied on our call today. We have identified a number of different factors within the forward-looking statements at the end of our earnings release, which you are encouraged to review. SB Financial Group undertakes no obligation to update any forward-looking statement except as required by law after the date of this call. In addition to the financial results presented in accordance with GAAP, this call will also contain certain non-GAAP financial measures. I will now turn the call over to Mr. Klein.
Mark Klein: Thank you, Melissa and good morning everyone. Nice to have you all with us. Welcome to our second quarter 2018 webcast. Our comments this morning are supplemented by the earnings release that we filed yesterday. Briefly, highlights for the quarter include net income $3.1 million, a 34% improvement over the prior year quarter, representing a return average assets of 1.35% or 23.9% increase. Diluted EPS for the quarter $0.40 per share, representing an 8% improvement over the prior-year quarter. Trailing 12 months EPS now stands at a $1.82, a 26% improvement over the prior year of a $1.44. Operating revenue expanded over $1.2 million or 11%. Loan balances expanded over $46 million or 6.4% from a linked quarter and nearly $102 million or 15.6% from the year ago quarter. Deposits likewise grew just slightly from the linked quarter, but nearly $46 million or 6.5% from the year ago quarter. Expenses and support were down from the linked quarter but up 9.9% from the prior year. Mortgage origination volume was up $51 million or 87% from the linked quarter to $109.5 million and up nearly $12 million or 12% from the year ago quarter. Asset quality, a common theme with our company continues to be one of our competitive strengths. SBA loan volume finally slowed a bit from our strong first quarter, but we still originated nearly $1 million in our activity reflect strength in each of our higher growth markets. We continue on our steady course to deliver our five key strategic initiatives we've discussed them every quarter. It's all about the revenue diversity, organic growth to deliver scale and efficiency, a broader product set in not only new households, but existing ones as well, world-class operational excellence and of course the top tier asset quality that we've mentioned quarter after quarter. And now a bit of expansion of color on each; first revenue diversity. This quarter we delivered over 34% of our revenue from fee-based business line and was down slightly from the linked quarter and a bit lower from our historical 40% level. Our results were also down 5% from the year ago quarter. Adjusting for the sale of DCM, which we completed on January 1 of this year and discussed earlier, fee income would be up 11% from the linked quarter and flat to the year ago quarter. This quarter saw a marked improvement in mortgage volume as I mentioned albeit a bit more of our variable-rate portfolio product. SBA lending was a bit slower this quarter as I mentioned, although our year-to-date results of nearly $12 million in volume is clearly in line with our expectations through the six months pipeline in both mortgage and SBA remain solid. Despite limited housing inventory for sale in nearly all markets, a constraint we've discussed for several quarters now, coupled with marginally higher rates, our net mortgage banking revenue of $2.3 million was level with the year ago quarter. We managed to expand our servicing portfolio now to $1.03 billion, representing a growth over the prior year quarter of nearly $80 million. This past quarter, we generate $109 million in production as I mentioned. Columbus generated the bulk of that volume of $62 million. Defiance Northwest Ohio and Northeast Indiana $28 million and West Central Ohio Finley produced another $19 million. We're using this business line as the key gateway to the household and then deploying our retail staff to begin developing a much deeper relationship. We've recently hired an additional mortgage lender in the Northeast Indiana market in addition to the two MLO's we added in the first quarter in our Columbus Ohio market. We now have a total of 22 MLO's across our footprint with the near-term goal of 29 as we keep our sights set on our longer-term vision of $500 million in production per year in new and adjacent market by 2020. Our SBA strategy continues to gain traction in an expanding economy. This quarter we sold nearly $1 million of our production for over 117,000 in loan sale gains. We now have been development officers in Columbus, Westlake Greater Cleveland and Toledo and soon to be announced an additional BDO in Fort Wayne, Indiana. Our incentive-based production driven model continues to move us closer to our strategic production level goal of $40 million in loan volume and a top 100 ranking in the US by 2020 among banks who do SBA lending. With nearly $12 million in volume thus far this year, we're making meaningful progress and clearly executing on our plan. As of June 2018, we improved our ranking to 207 out of the 1,692 banks in the U.S. that have closed an SBA loan or the 88 percentile. We will continue to refine our plan in the markets we serve to become that top 100 producer in the U.S. by 2020. As of June 30, 2018, we had total assets under our care in our wealth management division now of 408 million. 360 traditional assets and 47 million on the brokerage platform. As we expand our presence into new and existing markets, we have developed more opportunities as our pipeline has strengthened to over $54 million. This progress now includes a wealth management presence in our newer Fort Wayne market with a seasoned investment advisor Mr. Cameron Helma [ph]. Our second initiative remains to add scale and improve efficiency. This quarter, we expanded organic balance sheet growth and the operating revenue that accompany. In fact all nine markets delivered net increases in loan growth this past quarter, setting the pace for our company was the Columbus region that added $21.1 million defiance nearly $11 million Toledo $6.5 million and Fort Wayne $2.3 million. Decentralized market-specific business models delivered by each of our strong regional leaders provides the inertia. Deposits also expanded this quarter by $4.1 million from the linked quarter and up from the prior year by $45.6 million or 6.4%. We now have treasury management professionals working with our commercial and small business lenders in each of our newer low share growth market to attract deposits. In addition, we have redeployed a number of our retail staff into every market, now focused on small business lending and deposit gathering from our commercial and small business clients. Third is our strategy to deliver greater scope. As we've discussed in prior quarters, onboarding and reboarding efforts by our retail staff continue provide lift in not only a number of households, but our products and services as well. Households now over 29,000 increasing slightly from the linked quarter and 2.9% from the prior year. We also grew our products and services now to over 85,000 increasing 1.3% from the linked quarter and 3.8% from the prior year. We continue to improve and supplement our digital platform, which this quarter was highlighted by the revitalization of our bank website. Additionally, we saw a 23% improvement year-over-year increase in our number of mobile banking users a trend that continues. Operational excellence the fourth key theme; at quarter end, we reported a mortgage servicing portfolio of $1.03 billion representing 7,300 households. As we have discussed for many quarters, not only does this business line provide the entryway to the household, but also delivers that $2.5 million in reoccurring revenue annually along the way. We fully intend to leverage our presence and expertise in this space. In November of last year, we hired a Chief Technology Innovation Officer Ernesto Gaitan, who had spent the majority of his career at GE Capital. Under his leadership as a Six Sigma expert, we have begun now under his leadership to realign our processes and improve key operational metrics to ensure we deliver a seamless unique client experience at every touch. Working interdependently to serve our clients and identify referral opportunities, enable us to add value to our relationships. It's part of our culture. As a result, this quarter our staff identified another 591 client needs that we refer to another business line. These referrals led to 352 solutions for nearly 26.5 million. Of those 352 referrals we closed, 175 resulted in home equity loans for over 5.1 million and 105 referrals resulted in residential mortgage loans for 11.8 million. We are making every attempt to provide 100% for the client needs and nothing of what they do not. The fifth key initiative asset quality, nonperforming assets declined by $700,000 to just 0.34%. Total past due loans now at 0.23% and net charge-off just $25,000 or one basis point. Our reserve to nonperforming now stands at a robust 264%. Before I turn the call over to Tony for additional comments and color, I'd like to comment on the capital raise that we completed in February, which added 1.6 million shares and $30 million in Tier 1 equity capital. Clearly, this capital along with strong earnings has provided us a solid foundation of tangible common equity to both fund and support, the robust organic balance sheet growth I just mentioned. The additional liquidity and sponsorship of our stock is evident in our increased stock price. And now I'd like to ask Tony Costantino to provide, Tony some more details on the performance this past quarter.
Anthony Cosentino: Thanks Mark, and good morning, everyone. As Mark has previously highlighted, we had net income of $3.1 million or $0.40 per diluted EPS for the quarter. That EPS of $0.40 was up $0.03 or 8% from the prior year and up $0.05 or 14% from the linked quarter. Of course, any comparative is impacted by the addition of the 1.67 million new common shares from February as well as a reduction in our federal tax rate, coming down from 32.1% in 2017 to 18.4% currently. So some highlights for the quarter, operating revenue up 10.9% from the prior year and up 6.1% from the linked quarter. Loan growth was up $101.7 million from June 2017 or 15.6%. Loan sales delivered gains of $2.2 million for mortgage, small business and agriculture. Our mortgage volume of $109.5 million was 11.9% higher than in the second quarter of 2017 and lastly as Mark indicated, we continue to reduce our nonperforming ratio, which is now down to 34 basis point. As we break down further the second quarter income statement beginning with our margin and despite the headwinds of a flattening yield curve, net interest income was up from the prior year by 21% and up 9.4% from the linked quarter. End of period loan balances from the prior year were up $102 million, an increase of 15.6%. Our average loan yield for the quarter of 4.97% increased by 46 basis points from the prior year. Overall, our earning asset yield was up 54 basis points in the prior year. In addition to the balance sheet impact, the three rate increases have driven yields certainly higher. With 70% of our loans of a variable nature, we will continue to see higher loan yields on average, but not necessarily at the same pace that we are seeing an increase to our funding costs. On that funding side, we continue to experience an increase in the cost of our interest-bearing liabilities, which came in at 80 basis points for the quarter, which was up 16 basis points from the prior year and up nine basis points from the linked quarter. Net interest margin at 4.14% was up 41 basis points for the prior year and up from the linked quarter by 28 basis points. These variances were all due to the combination of somewhat higher deposit costs, significant loan growth, and fees from higher mortgage origination. Total interest expense costs have risen by nearly 30% from the prior year with that variance tied almost exclusively to increased volume and slightly rates as in the second half of the quarter. Loan activity has influenced margin income from the prior year with total loan interest income of $9 million up 24% and clearly $102 million of increased loan balance is a key driver. We have a strong pipeline, but it is unlikely that we will repeat the $46 million of loan growth, we realized this quarter going forward. Total noninterest income of $4.2 million was down from the prior year, which reflects somewhat lower SBA gains and certainly the sale of our DCM business that occurred in the first quarter of this year. Fee income as a percentage of total revenue still healthy at nearly 34%. For the quarter, as we indicated mortgage originations of $109.5 million were up from the prior year by $11.7 million or 11.9% and were up $51 million or 87% from the linked quarter. This quarter's new purchase volume remained high at 95% and in the quarter, we saw a measurable shift by our clients into variable-rate mortgages, which drove higher on balance sheet residential outstanding. Total gains on sale did come in at $2.1 million, which was 2.6% on our sold volume of $79 million. Our servicing portfolio of $1.03 billion provided revenue for the quarter of 636,000 and is on pace to deliver $2.5 million in total revenue in 2018. That servicing portfolio has increased by $80 million or 8.2% from the prior year. The market value of our mortgage servicing rights remain at level this past quarter. Our calculated fair value of 121 basis points was up 15 basis points from the prior year and did result in a very slight $22,000 impairment. At June 30, those mortgage servicing rights were $10.6 million, up 15% from the second quarter of 2017 and up 4% from the linked quarter. Our total temporary impairment remaining is $81,000. Operating expenses this quarter of $8.6 million were up $0.8 million or 9.9% for the prior year, but compared to the linked quarter, expenses were down $50,000. On a year-to-date basis, operating expenses were up 13%, reflecting the sale of DCM and the tax initiatives we discussed and distributed in the first quarter of 2018. However, operating leverage for both the quarter and year-to-date are positive. Now as we turn to the balance sheet, total loan outstandings at June 30, 2018, stood at $753 million, which was 79.7% of the total assets of the company. We had growth of $101.7 million from the prior year and were up $46.1 million from the linked quarter. Compared to the prior year, our loan book grew in every category led by commercial real estate with $54.2 million followed by residential real estate of $35.6 million. On the deposit side, we are up from the prior year by $45.5 million, a 6.4% growth rate and up slightly from the linked quarter by $4.1 million or 0.6%. Deposit and funding cost continue their rise this past quarter. The rate on interest-bearing liabilities of 80 basis points is up 16 basis point or 25% from the prior year. Adding the impact of non-interest bearing demand dropped our total cost to 66 basis points, but also up 25%. We've offset these higher costs by moving our loan-to-deposit ratio up 6% to 100% as of June 30, 2018, but it is critical that we continue to match deposit growth with loan growth for profitability and liquidity requirements. Looking at our capital position, we finished the quarter at $125.9 million, up $36.1 million or 40.6% from June 30 of 2017. We continue to be pleased with the added liquidity and sponsorship of our shares after the completion of our capital raise in February. The equity-to-asset ratio of 13.3% was also up significantly from the prior year. Regarding asset quality, total non-performing assets now stand at $3.2 million or 0.34% of total assets. The total level of non-performing assets is down $700,000 from the prior year and down $300,000 to the linked quarter. Included in our non-performing asset total is $1.1 million in accruing restructured credits. These restructured loans, nearly all maturity extensions elevate our nonperforming level by 12 basis points and absent those restructured credits, our total nonperforming asset ratio would be just 22 basis points. Provision expense for the quarter was $300,000 compared to $200,000 for the second quarter of 2017 and flat from the linked quarter. We did have loan losses in the quarter of just $25,000. Our absolute level of loan loss allowance at $8.5 million is up from the prior year by $700,000 or 8.6%. Due to loan growth, that allowance to total loans percentage has declined from 1.2% at June 30, 2017 to 1.13% currently. This allowance level still places us at the median of our peer group, which certainly bodes well given our top quartile peer NPA ratio. And because of the reduction in non-performing loans this quarter, we now have NPL coverage with our allowance of 264%, well above our prior year number. In summary, a great quarter and our year-to-date performance has been strong with net income of $5.6 million up 29%. And when we look at our pretax pre-provision income number on a year-to-date basis, we are still up a strong 13% from the prior year-to-date. I'll now turn the call back over to Mark.
Mark Klein: Thank you Tony, it was a great quarter for our company. A strong one for our company on many fronts, double-digit profit improvement driven by top line revenue expansion of nearly 11% representing as Tony had mentioned, then I'd certainly mentioned the $100 million and organic balance sheet growth year-over-year, year-over quarter and more normalized level of residential real estate production at the $109 million and of course the market-leading asset quality. Clearly together the results reflect our deliver commitment to grow and diversify our revenue as we add scale to improve our efficiency. As we move into the second half of the year, we remain optimistic that the earnings momentum we have seen in the first half will continue. That said it will surely not come without added pressure as Tony indicated on the liability side of the balance sheet, that will most certainly effect overall cost of funding. With our nearly 100% loan-to-deposit ratio, we will be selective on the lending opportunities to optimize revenue and margin. Finally, we remain steadfast. Our focus to continue to deliver our stakeholders, a high-performing company with strong regional leadership, insightful business line leaders, serving geographically diverse markets and an economy that remains fairly resilient, albeit one that is entering one of the longest expansions of all time. And I'll turn the call back to Melissa for any questions from our investment community. Melissa.
Melissa Martin: Thank you, Mark. Operator, we are now ready for our first question.
Operator: We will now begin the question-and-answer session. [Operator Instructions]
Melissa Martin: While we are waiting for questions to assemble, I would like to remind you that today’s call will be accessible on our website at www.yoursbfinancial.com under Investor Relations.
Operator: The first question comes from -- we have Brian Martin with FIG Partners. Please go ahead.
Brian Martin: Hey, good morning guys.
Mark Klein: Good morning.
Brian Martin: Maybe I just wanted to start with if maybe as Tony or Mark, I guess maybe Tony on the margin, if maybe you could just reconcile Tony, just kind of a gap up in margins from first quarter to second quarter. I guess, certainly you kind of outlined some of it. It seems like mortgage fees were part of it, but just trying to understand that and then just in the context of your commentary about funding costs and how you are expecting them to continue to rise, just how to think about margin prospectively given Mark's comments about trying to maximize profitability, but just reconciling the margin and just kind of your outlook on how you're thinking about it prospectively.
Anthony Cosentino: Sure, happy to. This is Tony. Thanks Brian for the question. I would say it certainly was a bit of a unique quarter that we had an oversized level of loan growth, $46 million, kind of 2 to 2.5 times a normal sized quarterly level of loan growth. And I would also say the fact that we've not yet realized all of the funding increases that I think will be evident when we get to the next quarters margin levels, I think these two factors certainly allow their balance sheet to move to the 100% loan to deposit level, which we've traditionally been kind of mid to low 90s. I think that oversized a bit the impact on margin and certainly we can't discount going up $51 million in mortgage loan originations from Q1 to Q2. Had a significant impact on certainly loan fees, that has a somewhat impact on our margin level. So, I would say those are the three factors that got us to the higher level above four margin for Q2 and I think we would come back to maybe a more normalized that 385 type level as we look forward, because funding cost certainly in the latter half of the quarter, we begin to see those evident throughout our markets.
Mark Klein: Brian, this is Mark. Just one comment, your marginal cost funding as we have seen is well into the 1 to 1.5 and so we've certainly been cognizant of that as we price loan demand. So, we're going to be very prudent on the loan funding side to keep that net interest income expanding, albeit with a larger bottom line, maybe a bit of leakage on the ROA, but clearly improvement in net income as well as ROE, but it's clearly moving up and we're on the forefront with a 100% loan to deposit. So we're right in line of sight.
Brian Martin: Right. Okay and just kind of a strategy and funding going forward. I guess are there as far as how you found this given the loan-to-deposit ratio and the critical nature to kind of match the loan growth with deposit, what specifically I guess maybe you mentioned a couple of things in the call, but I guess what are you doing on the deposit side to accommodate that loan growth?
Mark Klein: Right, great question and clearly our conversations on funding loans is certainly more robust when it comes to the deposit side requiring those deposit accounts with loan funding is certainly the beginning. We also have restructured as I mentioned our entire retail network, which would place another eight individuals that would have been generally managing or overseeing those retail offices, that now have been relegated to the next layer of management in those retail offices, which has allowed us to put those eight individuals literally every day on the street, talking with existing commercial clients, existing small business clients, as well as prospective ones. So we've clearly changed the game. We've clearly put the shoe on the other foot relative to the balance sheet and we think we might be able to move the needle and continue to expand the balance sheet and improve efficiency and the scale. So that's how are doing it, albeit again with some key products that right now we're reaching out to our private client base and advising them of our new products that are currently at about the 185 level and bringing a larger portion of their deposit into that relationship with us. So we're using it not only to expand current relationships, but also establish some new ones.
Brian Martin: Got you. Okay. That's helpful. And maybe just if one of you could just talk a little bit about the loan growth and I think you gave a little bit of color and maybe I missed it where geographically it came from, but you know I guess and then just have based on what you saw this quarter, but cognizant of the profitability you're going to maximize or at least book to in the next couple of quarters, how we think about loan growth, the balance just kind of longer term, however you guys, how you can frame it a little bit just what the pipeline looks like.
Mark Klein: Okay. Thanks Brian. Again structurally we're built for growth as I've mentioned a number of times with our -- Jon can make some comments here, but with our brand 17, high-level individuals in very diverse geographic markets. We expect that growth and we're going to have to look at alternative funding, should the deposit machine slowdown. But, Jon I know you feel literally 90% of all those requests, the rest are loan committee, and I think we're feeling pretty good about now, where and we've come from and what we've done but where we're going.
Jon Gathman: I do. We began the year with a bit of a pivot and changed some of our weightings and incentives and different things, more to C&I growth model, not that we're still not growing CRE as Tony went through in the call, but we've seen some very nice C&I projects come on board here in '18 and in the pipeline here for the remainder of the year. The pipeline remains strong. We have a number of projects that are drawing up here in the second and third quarter. So again it's all about pivoting and looking at that loan growth a little more strategically. We have the benefit as Mark said of being structured for growth, you know little bit more strategic about where we deploy our capital and our funding to get those deposits and those C&I credits that are going to tend to come more concentrated in the deposit world.
Mark Klein: You know what Brian, one follow-up comment is that, as you well know three years ago we developed a specific focused SBA strategy and the $40 million or so, that we've done in SBA and sold off 75%, much like Freddie Mac loans has certainly given us ability to garner our additional relationships and marginally some higher-yielding variable rate balances on our balance sheet. So, that's been a great addition to our product set and delivery channels throughout all of our market and we intend to remain significantly relevant in that space.
Brian Martin: I got you. And the loan growth at least on the residential side, which kind of lead the quarter, my guess is that it's probably some of the variable rate loans, and the mortgage side were kept retained as opposed to being sold I guess. Is that a trend I guess you guys would expect to continue? If you kind of cap out that, it's talking about how strategically what you want to grow. Means does that change going forward or just how to think about that, that component of the loan book relative to the others, which clearly are focused on.
Mark Klein: Thanks Brian, well clearly, we like the net interest margin that comes with putting those loans on the book, albeit them variable. Tony and I talked about this earlier that the mortgage machine that we have going, given the flatness of the yield curve has driven some of those through the variable end of the curve. And we will be talking about how much we have in this, relative to booking more of those given our 100% loan-to-deposit ratio. So, our private client group is very robust on that end. Those $0.5 million to $1 million mortgage loans and some of our low share high-growth Metropolitan markets. So it's pulling is by inertia into that field and we need to continue to consciously determine how did we price that to make sure we get what we want. But we've enjoyed it so far. We like the relationship we gather as a result of that private client relationship, and so far, we've been able to fund it, but we're going to get more selectively as I mentioned. Tony, you might have additional comment.
Anthony Cosentino: Yeah, I would just say to add on to that, we had historically been kind of a mid-80s to high-80s percentage of sale of our mortgage origination product, given the type of product we have and the relative slope of yield curve and really this quarter and a little bit in Q1, we've seen a real dramatic shift of our clientele into the variable rate product. And the profile of that client certainly in this quarter was much more private client oriented, medical professionals, very high-profile of the client that we like and we don't mind having that on our portfolio. Our still residential real estate is still only mid-20s right now in terms of a percentage. So, we're not overly concerned, but certainly we don't want to be 100% residential real estate bank.
Brian Martin: Right, okay. So, you're comfortable having it go a bit higher and maybe you cap that at some point, but at least somewhere it's at there now there is still room to take it higher.
Anthony Cosentino: Yes it certainly -- certainly on the agenda to continue to discuss Brian and we've liked it as I mentioned so far, but I think a bit of conversation internally about that would certainly pay dividends and give us some more conscious approach to that particular delivery channel.
Brian Martin: Okay. Perfect and then maybe if you can just give a little thought on just -- on the mortgage business and just kind of if anything is changed with your outlook. I get certainly if we think about that, how we think about what the production is versus kind of what we are -- what you guys are selling into the secondary market, that's kind of shifted to that, that lower range. How we think about that going forward and then just any comments or if does it look like the gain and sale margin was down a touch the quarter from first to second quarter, just are we thinking differently about that as you go forward.
Mark Klein: Brian, just one comment. Yeah, as I've mentioned for 10 years, mortgage banking is something that we really like. We obviously have to get it right in the midst of regulatory reform. So we know that, that can give the best of banks angst at times. And certainly something that we continue to have to deal with on an ongoing basis, but we love the opportunity to not only gather some non-interest income, but clearly that 7,300 households that have like 1.5 to 1.6 service per household. We have a great opportunity to continue to expand our reach in all of our markets via that household with one, two, three, four services. So from my perspective, where I sit, it's a great business line that we're going to lever through the retail network to gather more scale. As far as the gains, Tony has done a great job with a couple of other professionals and organizations to widen that margin and hedge and I think Tony that's evident in our take on each mortgage loan.
Anthony Cosentino: Yeah, I think that's right and I think Brian as we look forward in the mortgage business, I think the end of '17 and Q1 was really an anomaly, and it really was inventory-driven and some people just taking a breather on the market. Our pipeline is extremely strong as we sit here today. I would expect a similar result in Q3 that we've had in Q2, both in terms of level of origination roughly as well as the level of sales volume. We're seeing that portfolio of product be very strong and the type of clientele that we're getting, be very strong in that private client arena.
Brian Martin: Okay, so you think the 72%, I guess the sale post origination this quarter Tony, keep it at a lower level or you think it would tend to gravitate back up toward that, you talked about historic that 80% type of range, just so I understand kind of what you -- at least how you're thinking about it?
Anthony Cosentino: Yeah, I'd be surprised that we get back in the 80% level certainly in the next couple of quarters based upon the pipeline I'm seeing.
Mark Klein: Well, Tony and the yield curve is driving people to the short end, Brian as you all know, but if we're going to continue the price consciously and make sure that we get what we want and in light of the challenges we have on the other side of the balance sheet.
Brian Martin: Yeah. Okay. So this level we are at today is kind of more realistic, give or take little fluctuation and then just kind of the gain on sale margin, Tony, I guess any -- it's kind of decreased. It's similar to what it was a year ago. It's down linked quarter, just kind of in this broad range, it's just kind of you guess you feel like that's at least going to hold in there. Is that holding there pretty good. No but…
Anthony Cosentino: No I would not say it will have a significant change from where we are in that kind of mid 2.5 to 2.75 type range would be that level.
Brian Martin: Okay. Fair enough. And I guess just from an SBA standpoint and I guess like you said a little bit of a downtick this quarter, just how are you thinking, how does that pipeline look and I have heard some -- at least one other bank that we're seeing more customers do that in the traditional market as opposed to taking the guarantee on this. Are you guys seeing any change in I guess competition in that market or just how does your pipeline look or any commentary you can offer on that.
Jon Gathman: No, this is Jon. No our pipeline remains very, very strong. I think the second quarter to first quarter comparison is more a function of the outstanding first quarter we had. The second quarter was down a bit, but the pipeline there was very, very strong. We have a couple of large SBA. We have one USDA loan in there that falls into that same category. So, I'm optimistic about the third quarter and the pipeline moving forward. We have not changed our strategy. We continue, to answer your question, we don't see any pressure necessarily to change those loans to the portfolio. We've targeted -- we've targeted specific market in that SBA and it tends to be business acquisition, development, doctors, professional and that market remains as it was. We have key business development officers. In fact, we continue to deploy as Mark said earlier, new in Toledo and soon to be in Fort Wayne that we really think will drive that towards higher level here in remainder of 2018 and 2019
Mark Klein: Brian, just one comment. all things being constant, given all the calls we make with our 17-plus individuals that are making probably 200 calls a month, where we would've again, certainly not a new approach, but where we might have walked away from a credit that needed some help, such an SBA guarantee. Now we have that opportunity to keep that client with us, expand that relationship and make some great fee-based income that as we've always said is going to supplement the mortgage business line as rates increase marginally. So, we feel we've got both ends of the curve covered and we really like our prospects in that SBA space, particularly with our deployed BDO's who do nothing, but SBA lending. We think we have the model right? We think we've got the markets and we certainly are supportive of a three-plus GDP that is expanding our opportunities.
Brian Martin: Right and did you guys -- did I miss it or did you guys say that you also added someone or you're looking at someone this quarter. I guess -- did I miss that?
Mark Klein: We added somebody in Toledo in the second quarter and we're tentatively adding somebody that's accepted, but hasn't yet joined us here in the third quarter in Fort Wayne.
Brian Martin: Fort Wayne, okay. All right. That's good. All right and then just one question back to the margin. This is a variable rate component of the loan portfolio and what, what amount of the loan book is re-pricing today with rate increases. You are pretty close to thereafter with the rate increases.
Anthony Cosentino: Well, yeah I'd say a couple of things there. We're about 70/30 variable to fix in terms of the entire portfolio. Now again that doesn't necessarily mean that's going to re-price every time. We're about a quarter of a million to 300,000 on every Fed rate rise on 25 basis points roughly right now. That gets wider as you get further away because we certainly do have floors that that people get away from. So, I would say we're probably 40% of our portfolio is probably an immediate reaction to any kind of rate rise, whether that be LIBOR based or prime based.
Brian Martin: Yeah. Okay. That's what I heard. I thought you said 75%, but I know not all that moves right away, so okay. Maybe just last one or two for me was, just on the expenses, it looked like things were pretty clean this quarter. Anything unusual in the expense line, outside of the volatility that goes with the mortgage unit, a pretty clean quarter on the expense side. Would you guys characterize and just how you're thinking about that the outlook there. Are you still making investments in the franchise to kind of keep that rate -- that expense run rate kind of tending to trickle up a bit.
Anthony Cosentino: Well, again from our new found as we reported the first quarter of the year with our newfound tax initiatives -- incentives, we have borne some additional expenses from some of our staff as everyone would certainly contain the market. The employment market has continued to tighten. That has begged some additional increases and some incentive components that we've continued to realize. Be that as it may, our expenses are clearly up, but we keep a keen eye on that operating leverage that was still positive this last quarter and we clearly have a lot of room to run. As I mentioned in our last quarter Brain, when you look at our 30 million to 35 million average portfolio of our commercial person with a number of people we have on staff, we're clearly poised for continued rise and improvement in our efficiency as those portfolios expand. And again we sell off those SBA, but those are real time gains that we would like when we build the balance sheet. We've got certainly a lot more room to run on that net interest income. So they're up, but all those trades that we have made in the last five-plus years have been good trades and we contend that through those fee-based business lines, they're continuing to provide us initial profitability and initial inertia that's going to take us to a higher level.
Brian Martin: Yeah. Okay. That's helpful and maybe just any update if there is any on just you talked about the capital and the benefit as far as M&A goes and just how you're thinking about that as you go forward, I guess it seems like there is opportunities in your market, you got the capital now, better currency. And I guess just kind of wondering how things are trending there? Are there other discussions or it just seems like they've, just I guess some color on that.
Mark Klein: Well as we've certainly seen -- certainly strengthening in our currency, which is giving us opportunities to have those discussions. That said, we need to close our 2018 compliance examination. We have some issues that we're currently discussing with our regulators that we certainly expect a timely resolution to. But that said, we don't have anything on the platter that is eminent, but we have had those conversations and we continue to rank opportunities that would fit not only geographically for us, but fit nicely from a balance sheet perspective that would certainly help our 100% loan to deposit. So those deposit-rich entities that have their own challenges, because obviously they're deposit rich because they haven't grown the other side of the balance sheet, would fit nicely with our company. So, we continue to have those conversations -- we continue to use our capital judiciously. Organic growth we think is very wise for all of our stakeholders, but certainly we keep a keen eye on the opportunities that are out there on the M&A side.
Brian Martin: Yeah. Okay. And the tax rate I guess no change to kind of it looks it's been lower than kind of at least I was thinking, is that you expect that to kind of trend a bit higher from kind of a current level, I think it was around 18% this quarter, kind of blended rate for the year let's call it 18.5%, just as you think about that going forward, does it trend a bit higher from the current levels or is this level pretty sustainable.
Anthony Cosentino: Yeah, hi Brian. This is Tony again. Yeah, we had a couple of some stock compensation items as well as some tax-free investments that were a bit higher this quarter. I would tend to be more comfortable with the tax rate going forward the high 19s type level.
Brian Martin: High 19s, okay. All right and I think that's it. I appreciate you taking all the questions and I'll step back if there's someone else who has one.
Mark Klein: Thanks Brian. Nice to chat with you.
Anthony Cosentino: See you, Brian.
Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Klein for any closing remarks. Please go ahead.
Mark Klein: Once again, thank you all for joining. We're proud of the result we delivered. We thank you for your confidence in what we're attempting to accomplish here at SB Financial and we certainly look forward to chatting with you again in October for the third quarter results of 2018. Thanks for joining and have a great day.
Anthony Cosentino: Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.